Operator: Good afternoon, and welcome to the Flex First Quarter Fiscal Year 2021 Earnings Conference Call. Today’s call is being record and all lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. At this time, for opening remarks, I would like to turn the call over to Mr. David Rubin, Flex’s Vice President of Investor Relations. Sir, you may begin.
David Rubin: Thank you Sunny. And welcome to Flex’s first quarter fiscal 2021 conference call. Joining me today’s our Chief Executive Officer, Revathi Advaithi and our Chief Financial Officer, Chris Collier. This call is being webcast and recorded and slides for today's presentation are available on the investor relations section of our flex.com website. Please note, today's call contains forward-looking statements, which are based on current expectations and assumptions that are subject to risks and uncertainties, including the impact of COVID-19 pandemic and actual results could materially differ materially. Such information is subject to change, we undertake no obligation to update these forward-looking statements. For all discussion of the risks and uncertainties, please see our most recent filings with the SEC including our most recent 10-K. Lastly this call references non-GAAP financial measures for the current period, GAAP reconciliations can be found in the appendix slide in today's presentation, as well Investor Relations section of our website. With that, I would like to turn the call over to our CEO. Revathi.
Revathi Advaithi: Thank you, David. Good afternoon everybody and thank you for joining us today. And as we continue through these unprecedented times, I hope you and your families are safe and healthy. It has been an eventful few months for the whole world. And our Flex colleagues have worked tirelessly, of course to support our customers and our communities. And I can't thank them enough for their continued support and dedication. So, because of these efforts, we have made real progress through a very difficult quarter and delivered better than expected results. I will start first by providing an update on how we are operating in the COVID-19 environment. And then we will talk about our fiscal Q1 results. So, navigating the COVID-19 pandemic remains top of mind for all of us. The safety and well being of our employees is our highest priority and to provide that protection. We have deployed very extensive safety measures such as enhanced sanitation, temperature checks, and of course, a lot of safe distancing and production environments. The associated costs of these measures will continue to have an impact on our business. However we are getting more efficient at all putting onto the safest possible condition, and we will continue to improve our productivity.  Personal protective equipment remains a keystone to our safety efforts. Our mass production project that we talked about last quarter continues to be on track with over 20 million masks that we have produced to date at seven locations across the globe. And while most of the production is used to keep our colleagues and their families safe, we are also supporting our communities by continuing to donate mass to hospitals and first responders. The working from home remains effective for many employees and will continue to have non manufacturing-employees work remotely as long as it is prudent. But I do believe that human interaction is an important part of building and maintaining a healthy culture. So, we are planning for an eventual return to work in some form, of course, but it will be a measured approach and only at the appropriate time. So, from an operational standpoint, all of our production sites around the globe are up and running. We have also seen dramatic improvements in the supply chain since the early days of the crisis. However, a few components constraints and elevated lead times still exists causing increase inventories in some areas. So let me talk about managing costs. Last quarter when uncertainty was added greatest, we instituted austerity measures, including temporary pickups and bonus cuts to mitigate elevated levels of manufacturing costs. We have used this time to plan how we will operate with the most optimal manufacturing, efficiency and overhead cost structure in a sustainable fashion in the current environment. And we still remain on track to reach our long-term financial goals. As a result, we are now implementing a systematic and disciplined restructuring effort that will be executed in fiscal Q2. This effort will enable us to further solidify our focus on improving margins and driving the right kind of growth. Lastly, of course, we continue to have a strong liquidity position and we will be prudent in our use and deployment of cash throughout this time period. So let me now talk about fiscal Q1. Let's turn to Slide 4. We have executed very well despite the difficult environment, let me highlights several of the financial metrics for our first quarter and then Chris will take you through the numbers in great details. The revenue of 5.15 billion was down 6% sequentially in 17% year-over-year. Please note that this sequential drop was due mostly to the impact of the automotive shutdowns and a slow ramp in the quarter. And as all of you are variable have year-over-year comparisons from last year's portfolio shifts we made. Our adjusted operating margin was 2.2% despite absorbing significant COVID related costs as well as negative mix impact from the automotive shutdowns. Our adjusted EPS is $0.23 down from $0.27 in Q1 of last year. Our adjusted free cash flow came in at negative 74 million as we had talked about earlier in the last quarter, we expected fluctuations and operating free cash flow due to managing through networking capital requirements in this unusual period as well as timing of payments in the quarter. However, we expect to quickly return to achieving our adjusted free cash flow targets starting in the September quarter. So moving on to Slide five, as we described last quarter, we knew that Q1 would be challenging as the impact from the COVID-19 outbreak continued to affect production and demand. However, we did see strengthen in several of our end markets, which is a testament to our diversification strategy and our ability to execute and deliver. Let me start with our reliability segment, house solutions was extremely strong, the team executed very well on project supporting the fight against COVID-19 such as our recent pass rounds and ventilators and testing equipment, as well as expansions and critical care products, such as oxygen concentrators and fusion pumps, patient monitors and ICU beds. We also saw continued strength in industrial areas such as power products. However, we did face a major challenge in our automotive segment. Most of our North American and European auto production sites remain essentially shutdown in line with our OEM customers. The new production would restart off to the quarantine period. So it greatly limited our options and our ability to cut costs in line with anticipated demand levels in the quarter. In May very excited to have Mike Stoney join Flex to lead the automotive group. Mike has a long history in the industry and brings extensive experience and deep domain expertise to the team. Mike hit the ground running and the whole group has worked very hard to ramp production. Get the wheels turning again. And I'm very pleased to announce that, all of our automotive production sites are now up in running. In our Agility Solutions business, CEC experienced have very strong rebound this quarter, as they ramped aggressively to meet customer demands for networking and compute equipment to support the increased workload from work-and-learn from home. This upside was offset by lower demand in our Lifestyle and Consumer Device segments. Initially Lifestyle was impacted by both retail shutdowns as well as initial e-commerce shifts to essential purchase only. However, we have started to see strong demand in areas like floor care, coffee machines and audio products. So as I discussed with you in March during our Analyst Presentation, we have reorganized our market-facing segments to be agile, and to have end-to-end ownership to drive the right growth strategy. And despite the current situation, we have not wavered from our growth mindset. Across the company, our teams have been very productive, finding new ways to operate and continuing to win new business. And COVID-19 made it impossible for customers to tour prospective manufacturing sites, we launched our new virtual customer platform to provide them with high-quality video tours of our global factories. Now, this has been a huge hit with our customers. When it comes to growth, we are focus on targeting and winning new businesses that are aligned with our strategic priorities and our customer engagements continue to reinforce that belief that we are perfectly positioned with the right combination of technology and domain expertise. We continue to see strong new program wins in our targeted markets, but there is the next generation medical monitoring device, autonomous auto-compute modules, auto electrification systems or things like advanced industrial grade robotics or new beverage appliances. So, executing our growth strategy is going well. We are also moving forward and deploying our operational model accustomed to our two groups and combining that with being world-class in manufacturing technologies. Along with that, we continue to focus on driving disciplined execution, taking rapid tactical actions as challenges arise. I do believe, we have a good balance of moving on our strategic agenda while executing really well in the near-term. Now, I would like to turn the call over to Chris who will walk you through our quarterly financial results in more detail, and then I will come back at the end to share some closing remarks. Chris.
Christopher Collier: Thank you, Revathi. Please turn to Slide 7 for our first quarter income statement summary. Our first quarter revenue, totaled $5.2 billion, which was down 6% quarter-over-quarter and 17% year-over-year. Our results reflect COVID-19 related demand and production pressures, as well as the effect of an unfavorable year-over-year comparison given our targeted disengagement of high-volatility, short cycle businesses we launched in our second quarter last year. Our Q1 adjusted operating income of $163 million, includes the impact of pandemic-related expenses. As a result, our adjusted net income was $116 million and our adjusted earnings per share was $0.23, which was down 13% year-over-year. First quarter GAAP net income of $52 million was lower than our adjusted net income, primarily due to $13 million of stock-based compensation, $13 million in net intangible amortization and $38 million in net restructuring and other charges, which consisted of $10 million of restructuring costs and $28 million of legal and other costs, which were not related to ongoing or core businesses which includes various loss contingencies for certain historical legal matters. I would like to expand briefly on our reorganization and optimization activities. We have deliberately and thoughtfully evaluated each part of our business to determine whether there are opportunities to better align with a long-term strategy and more recently, with a current economic environment. Accordingly, we will be taking actions to phase out certain non-core functions, streamline organizational structure, and sharpen our focus on key markets where we have competitive advantages and deep domain expertise. We expect to recognize associated restructuring charges of approximately 100 million for the remainder of fiscal 2021. The majority being severance and benefits related costs. Anticipated cost savings in fiscal 2022 is approximately 60 million related to these activities. Now please turn to Slide 8 for quarterly financial highlights. As we anticipated, our production of productivity continued to be impacted by the ongoing pandemic. In the first quarter our COVID-19 related costs roughly doubled sequentially from the march quarter, which was in line with our expectations. Note that the majority of our COVID cost impacts our cost of goods sold and gross margin, and they include our enhanced health and safety infrastructure costs, incremental supply chain costs, labor incentives, and the largest component being forced under absorption of labor and overhead from loss production and lower productivity. While these costs will persist, it will be significantly lower in the second quarter, as we expect improvements in our absorption of overhead and labor costs. As our production levels rise, and our project productivity improves. Our first quarter adjusted gross profit was 318 million down 21% year-over-year, and our adjusted gross margin declined 30 basis points year-over-year to 6.2%, primarily as a consequence of COVID-19 crushers in the related closure of our automotive sites for nearly half of the June quarter. As Revathi highlighted earlier, all of our sites are now operational, as our teams have done a stellar job of rolling out our new delivery models while navigating, again, network demand and production environment. Looking ahead, we are optimistic that we will return to consistent gross margin expansion as our operating sites remain open and disruptions lessen. Our adjusted SG&A expense decreased 21% year-over-year to 155 million this quarter, which in dollar terms is the lowest quarterly level we have operated in overtime in over 10-years. We have benefited from aggressively attacking discretionary spend levels, as well as from temporary reductions in compensation levels. We will maintain our cost discipline as we realign the company to not only weather the pandemic, but also to execute on our strategic strategy more efficiently in the long-term. We have confidence in sustaining SG&A as a percentage of revenue in our targeted range of 3% to 3.2%, which creates meaningful earnings leverage. Lastly, our year-over-year adjusted operating margin contracted by 20 basis points to 3.2%, which we believe was a strong performance when viewed in the context of the COVID-19 challenges. Now turn to Slide 9, for our first quarter business segment performance. As we communicated at Investor Day in March and on our last earnings call in May, we are operating with two reporting segments, Flex reliability solutions and Flex Agility Solutions. Flex Reliability revenue was 2.2 billion down 12% quarter-over-quarter and down 1% year-over-year. Cloud solutions was a standout performer during the first quarter and was up high double-digit sequentially. Our core business is performing very well and demand for critical procedures, products like ventilators, oxygenators and hospital beds more than offset demand softness for elective medical procedure products. Industrial was down high single digits quarter-over-quarter with strength from our power products offset by anticipated declines for renewable energy in core industrial products. We remain well positioned in this key business group and believe that its fundamentals are intact given its broad diversified portfolio and numerous ramping programs. Lastly, our automotive business quoted just over half its pre COVID quarterly run rate in the first quarter, our factories are now online and we have moved past the large scale OEM plant shutdowns that were in place for the substantial portion of our June quarter. We expect that automotive revenue will continue recovering from the trough levels experiencing the first quarter, but expect that our revenue run rate will trail historical performance in the near-term. Flex Agility revenue of 2.9 billion was down 1% quarter-over-quarter and 25% year-over-year.  As a reminder, this segment includes products from our communications and consumer end markets, which under what targeted reductions of over a billion dollars in revenues starting from the second quarter of fiscal 2020. We will begin to lap the unfavorable year-over-year comparisons for these products beginning next quarter. Within Agility, CEC was up low double-digits quarter-over-quarter, as it benefited from critical infrastructure demand from our networking and cloud customers. And we managed through production capacity challenges as we move throughout the quarter. Lifestyle was down high single digits quarter-over-quarter, as it experienced soft overall demand due to the consumer spending and lower retail sales. Lastly consumer devices were down 21% quarter-over-quarter as a result of prolonged production constraints in certain geographies and depressed demand due to COVID-19. Turning to profitability. Flex reliability solutions generated $115 million of adjusted operating profits and a 5.1% adjusted operating margin. Our industrial and health solutions groups performed very well while simultaneously ramping multiple programs in key end markets, such as semiconductor capital equipment in diabetes care. But the protracted automotive site closures and resulting under absorption and efficiency impacts were a headwind in the quarter. Flex Agility Solutions generated $72 million of adjusted operating profit and a 2.5% adjusted operating margin. Both CEC and lifestyle performed in line with expectations, but major geographic disruptions for consumer devices resulted in elevated under absorption challenges. We continue to actively manage the cost structure in this group to align with volume fluctuations. Turning to Slide 10. Let us review our cash flow generation highlights. As anticipated, our cash flow generation was pressured in the quarter as production restarts, clearing finished goods and timing shifts in payables all affected the quarterly cadence of our cash flows. For the quarter, our adjusted operating cash flow was modestly positive and we generated negative adjusted free cash flow of $74 million, which had been anticipated due to the timing of working capital management. We closed the quarter with inventory of $3.5 billion, which was down 8% sequentially and resulted in inventory turns of 5.3 times. We have mitigated most of our supplier constraints in component shortages, and we will continue driving further inventory improvements, while operating in this dynamic environment. A noteworthy action undertaken this quarter was to proactively and strategically utilize the proceeds of our May debt issuance to reduce the outstanding balance of our ABS program. We have reduced the balance on the short-term financing product by $655 million sequentially, which had the accounting effect of reducing our cash flow from operations. Our net capital expenditures for the quarter totaled of $102 million, which remains lower than our depreciation. We are confident in our ability to manage CapEx to be at or below depreciation levels in the near-term, while simultaneously funding core areas of our growth. In summary, while our adjusted free cash flow was negative for the quarter, we remain fundamentally structured to return to our objective of 80% or greater adjusted free cash flow conversion in our second quarter. Please turn to Slide 11 for liquidity and cash updates. We continue to operate with a balanced and flexible capital structure that has staggered debt maturities, no meaningful near-term maturities and no maturities that exceed our expected annual adjusted free cash flow. Many of the steps we previously implemented to enhance our liquidity position remain in place, as we continue to prudently manage cash and ensure that we have ample liquidity, which includes access to our $1.75 billion undrawn revolver. During the quarter, we took advantage of favorable market conditions to issue roughly $750 million of long-term debt in May, which extended our weighted-average maturity to over five years, while being leveraged neutral. In summary, we have worked diligently to maintain a sound and flexible capital structure that gives us confidence in our ability to meet our current and future business needs, and we remain committed to maintaining our investment grade rating. Please turn to Slide 12 for our second quarter fiscal 2021 update. Over the last six months, we have gained a tremendous amount of experience and knowledge that is now guiding us through a very dynamic and highly fluid production environment. Our ability to safely run our factories remain subject to local conditions and government actions, but we have improved our near-term visibility and execution in response to our learning’s. As such we have elected to provide quarterly guidance for the September quarter and we will continue to give qualitative insight into how we view each of our end markets in order to provide investors with as much transparency as possible during this period. Let me start with the Flex Agility Solution segment, which will be up 5% to 10% quarter-over-quarter. Our lifestyle groups should see quarter-over-quarter growth, as improving demand for durable goods that support working from home and schooling, partially offsets reduced consumer spending on non-essential products. Our TEC business will further benefit from increased critical infrastructure demand due to increased telework, streaming, gaming and other online usage. Coupled with a slight pick-up in our telecom infrastructure business TEC should grow modestly quarter-over-quarter. As for consumer devices, we are also anticipating a rebound quarter-over-quarter as mobile demand and production begins to recover. Turning to our Flex Reliability Solution segment, we expect its revenues to be up 5% to 10% quarter-over-quarter. Second quarter automotive revenue will improve sequentially, but will remain below pre COVID-19 team levels. China auto demand appears strong and we see EMEA showing signs of a recovery coming out of the June quarter. The outlook for North America is also improving, though uncertainty related to potential future lockdowns remains an overhang. In House Solutions, positive growth on quarter-over-quarter basis should continue with strong demand for critical care and chronic illness products offsetting weak demand related to elective procedures. Lastly, our industrial business will be modestly up quarter-over-quarter driven by renewable energy and power. As for core industrial, we continue to anticipate moderate near-term CapEx reductions. Given the sum of those outlooks, we would expect our quarterly enterprise revenue to be in the range of 5.4 to 5.7 billion. Our adjusted operating income is expected to be in the range of 180 million to 220 million. Displaying adjusted operating margin expansion. while remaining burdened by COVID-19 costs associated with operational production, and productivity constraints. Our interest and other experts is estimated to be between 35 million to 40 million. We expect our tax rate in the quarter to remain at the higher end of our targeted range of 10% to 15%. Adjusted EPS guidance is in a range of $0.25 to $0.31 per share based on weighted average shares outstanding of 502 million. Our adjusted EPS guidance excludes the impact of stock based compensation expense, net-intangible amortization and the impact from our restructuring other charges. As a result, we expect a GAAP earnings per share in the range of $0.05 to $0.11. With that, let me turn it back over to Revathi.
Revathi Advaithi: Thank you, Chris. So as always, you can see from Chris' comments, we had really solid execution in Q1, and because of that, we have confidence in giving you more detailed quarterly guidance. Though I would reiterate as all of you already know that there is continued uncertainty with the COVID-19 pandemic and because of that, we will hold off on giving any full-year guidance. What we can assure you is that we will continue to operate with discipline while serving our customers well and focusing on key growth areas for our business groups. As we are well positioned to the new demands of adaptive supply chains of [visualized] (Ph) production. I remain confident that we will emerge from this global crisis stronger, even better positioned for the future.  Again, I want to thank say thank you to all our employees for their continued commitment or customers, for their trust and partnerships during the challenging time and to our shareholders for their continued support.
Operator: [Operator Instructions] Your first question comes from the line of Steven Fox with Fox Advisors. Your line is open.
Steven Fox: Good afternoon. Two questions if I could first on the restructuring announcement, you have obviously pared down some emphasis on things that were lesser value. Can you talk about maybe some more specifics about what you are doing now? And it also sounds like what markets you are targeting to sort of emphasize where you may be doubling down a little bit more with some added skillets. And then as a follow-up from a big picture standpoint, a lot of companies, including yourselves have seen a surge in certain areas, healthcare, bandwidth related work from home. How would you describe the opportunity going forward since it has been such a big pickup do you expect sort of a normalization or is just a new normal any color there would be great. Thank you.
Revathi Advaithi: Okay. I will get started. And I would say, from a restructuring standpoint, if you recall, when I had talked to all of you in the Investor Day in March, we had talked about streamlining our organizational structure and also rethinking our delivery model for our two major business groups. And as a result of that, we had on many, uh, avenues for efficiency and optimization of our overall headcount, that we had decided to pause on implementation of any of that as we were trying to understand the COVID-19 pandemic impact in Q1. So I would say what we are looking at here is a combination of things. One is of course any effects that we see from COVID-19, but also the fact that we have taken a lot of effort to streamline our organizational structure. Given our end market end-to-end control has given us a lot of room for efficiency from kind of a corporate overhead structure, and segment overhead structure, which is really helping with overall restructuring. The markets that I see tremendous opportunities of course, as our health solutions business, as you know even before the pandemic had great bookings trajectory and continues to now solidify that position, moving forward. Even at a time like this when automotive end markets seem to be really challenged, I would say for us the combination of autonomy, connectivity and electrification, which really drives bigger electronic content in the vehicle. So the growth is much greater than the overall markets, it is also a very interesting opportunity for us and we are continuing to win many platforms there. Our industrial business of course remains extremely solid. Through the last few years, and we continue to have many avenues for growth. As you know the tam there is pretty significant. On the Agility side, outside of our base CEC business, I would say I'm quite excited about our life style business as we have redefined it. If you will recall the available market as we defined that was 150 billion plus in our Investor Day. And so what we are finding is many avenues of growth within that business that is highly profitable and while we are not externally sharing all our bookings number, if you look at our bookings trajectory in that business we are finding solid opportunities for growth with doubled the operating margin trajectory that we have had in the past. So that is another area that we are really excited about. And then as we have talked about, our CEC business has always been solid in terms of our technology portfolio. So overall, we feels really good about the areas that we have picked. Our available markets are big. What we are doing is, doubling down within sub-segments in that where we feel like we can really show our capability to win. I think that covers the question, right. Was there anything else, Chris?
Christopher Collier: I think the only other part was whether or not we are going to see a normalization to this elevated level of demand for the work-from-home, the gaming and are we seeing at the early stages here the COVID response.
Revathi Advaithi: Yes. I think our initial view on this, I think like most people was that, the near-term view on that business is that, there is going to be continued growth because the demand is really far outstripping the capacity available today. And you are seeing that from all end data center and cloud customers were projecting that today. And I would say, our view is similar and in line with that.
Steven Fox: Great. Thank you so much.
Revathi Advaithi: Thank you.
Operator: Your next question comes from the line of Tim Yang with Citi. Your line is open.
Tim Yang: Hi. This is Tim Yang calling on behalf of Jim. Thank you for taking the question. You Agility group seems to generate better margin in the quarter despite lower revenue on sequentially basis. Can you maybe just you talk about what is driving that and how sustainable it is? And then I have a follow-up.
Revathi Advaithi: Yes. So I will start and then maybe Chris you can jump in here too. I have seen a couple of important things that are driving. One is of course CEC is seeing good incremental growth. I think that helps our overall margin portfolio.  I would say, we have really focused on driving the right kind of bookings and improving our overall margin profile and our bookings in the last six months. We are also seeing the effect of it. Our operational delivery model, where we really focused on making sure that our variable fixed cost model for Agility moves in line with volume has also paying the right benefits to make sure that how we incur costs are done in the right way. And then I would say the Lifestyle segment, the pickup of floor care and the things like coffee machines, which we like that from an end segment perspective are also incremental to our overall margin mixed portfolio. So, those are all the reasons why, I would say Agility is doing very well. But, our continued focus would be our bookings are in the right categories with device operating margins and we can continue to focus on our operational model. I would expect Agility to drive the right operating margin level.
Christopher Collier: Tim, I think you also were picking up on a comparison to the Reliability. And again, as we have said in our prepared remarks, you know Reliability position is very strong across the health solutions doing very well there. Industrial has been very stable for us and growing, but then automotive piece of our business that we were shut down for more than half of last quarter. It puts a lot of pressure, it is a very rich piece of our business. So, that is what you are seeing in terms of the sequential margin erosion that you saw in Reliability. But, I think overall we are very pleased with where we are positioning ourselves and as we extend into this next quarter and beyond.
Tim Yang: Thanks. Just on your Reliability guidance, I think you mentioned that have significant - in the automotive due to factory shutdowns during the quarter and now all your factories are running. So, my question is why your Reliability group growth for September quarter would not be higher sequentially given auto production is expected to rebound roughly 40% in September quarter?
Revathi Advaithi: Yes, I would say two things. One is even we do have automotive rebounding. very significantly, we have health solutions with a pretty solid sequential growth you know Q1 to Q2. I would say we have taken a more muted approach on industrial in terms of sequential growth and that is just because we think that CapEx will be constrained and industrial and the jury is out that. Maybe we could be conservative on that I would say, but that is the view we have taken, but automotive and house solution sequence really are showing pretty strong growth for us and we are being more conservative and prudent in our industrial forecast.
Tim Yang: Great. Thanks for the color.
Operator: Your next question comes to the line of Paul Coster with JPMorgan. Your line is open.
Paul Coster: Yes, thanks for taking my question. Revathi I wonder if you would be kind enough to sort of maybe give us a multi quarter or multiyear kind of scenario for how the auto business sort of develops. Obviously you are initially filling up spare capacity again, but is it initially then you know the traditionalized products kind of kick in or are we going directly to the EBs, if it is, if you see EBs, kicking in when in which regions first and maybe just sort of talk us through the - I know that you participate many ways with autos, so I mean four basic kind of areas of electronics. Is there one that would proceed others in sequence?
Revathi Advaithi: Yes, you know it is a big question, Paul, and I will give you kind of my perspective here. First is a role from a macro level from a full-year perspective, we are in line with where IHS is, which is we think auto will be down 20% year-over-year. But set that aside, I think your question is more kind of the multiyear business category. First is if you think about the areas we participate in, which is autonomy, connectivity, and electrification, like I had said the growth in those areas are driven mainly by electronic content in vehicles, and so we expect that those areas that we have picked will have a greater growth than the overall market. And the way we see if you think about our multiyear approach, we obviously see that the growth in terms of connectivity is going to be across the board in all regions, whether it is North America or Europe or Asia, we see that that there is consistent growth across the regions. And we are winning in all areas of the world in terms of connectivity. I would say in electrification, we do think that the biggest growth comes from the overall China markets, but we do expect strong growth then following in North America and Europe. I would say that is a position that we are gaining quickly in areas like converters and that we have talked to you about in battery management solutions and things like that, where we are really gaining ground quickly. And if I think about a multiyear approach, in that we do believe that Asia has, particularly China has the strongest growth followed by North America and then by Europe. And then lastly, in terms of autonomous, you know, that is a longer term trend the real question on autonomous becomes, do you have solid design capability in autonomous, which becomes a very significant revenue stream. And I would say very extremely well positioned in terms of autonomous, not only in terms of the OEMs, but now also in terms of tier ones, we are doing more development on the autonomous work. And to me, that is going to be a many year process, but where we want to invest in autonomous is basically on the technology investments side. So I would say challenge this year overall, particularly in terms of COVID-19, but we strongly believe that the autonomy, connectivity, electrification segments of goods that we have picked will be greater than the overall markets and we see kind of a multiyear rebound on that. And so our goal is to double down and invest in areas like electrification more than we have done before, because we strongly believe that we have capabilities and that that can really accelerate our overall growth. Hope that answers.
Paul Coster: Yes that was good. Thank you. I appreciate that and maybe a quick question for Chris, you talks have improved visibility Chris, is it something that you have done those improved visibility or is it that just that your customers are feeling more comfortable in expressing that to you.
Christopher Collier: I think when you think about visibility, you got to think back to what the period we just came out of in terms of where we had many different factories around the globe either shutdown or starting and stopping. Our consistent operations now gives us a better clarity to better work, balancing load planning. We are getting just improved visibility in terms of our own ability to execute with the demand that is in front of us. And, we have been very, very aggressive in terms of our rigor and cadence in which we operate our system. And we are really driving the visibility in our supply chain and in our operations. It is enabling us to get more confident in terms of what is in front of us and how to adequately managing what is really still a very challenging environment.
Revathi Advaithi: And Paul last quarter, we had talked about our overall kind of operational radar, which is really feeling on understanding end market demands, using all the intelligence we have and reaching conclusions in intelligence conclusions for ourselves and also our customers. So I would say we are just kind of becoming better at that. And last quarter was just, a tough quarter to predict anything. And we didn't want to get ahead of ourselves. I think we are feeling more comfortable now in terms of how we are predicting the demand.
Paul Coster: Awesome. Thanks very much.
Revathi Advaithi: Thank you.
Christopher Collier: Thank you.
Operator: Your next question comes from the line of Ruplu Bhattacharya with Bank of America. Your line is open.
Ruplu Bhattacharya: Hi, thank you for taking my questions and congrats on the strong execution. My question relates to your CapEx spend in fiscal 2021, given the economic environment, how should we think about your CapEx spend and the split between how much would be towards the Reliability Solution segment versus the Agility Solutions. And just maybe looking at a broader picture when you look at your footprint, are you seeing your customers asking for any product line moves from one region to another, maybe to have redundancy or to move out of China and do you have the capacity to support that? So any, any details on that would be appreciated. Thank you.
Revathi Advaithi: Yes. So maybe let me start with CapEx. One is, I would say, we have said this before Ruplu is that we made the commitment last year that we will invest in CapEx in line with our depreciation levels, and we want to continue to focus on it that way. But we are very focused on making sure that our CapEx is invested in critical growth areas. It does lean a lot towards our Reliability business more now, just because of large investments in areas like the medical segment and even those are fairly significant CapEx investments, but we believe are the right ones for us long-term. So, we really feel like we brought CapEx inline last year and we want to keep it at that level of investment, and we will be focused on making sure it is in line with depreciation and very much in line with our growth strategy. And then, in terms of China itself, I would say, you have seen in our filings how our PPE has moved overtime between the regions, right. So our overall PPE has reduced in China and has become more focused on U.S. and Mexico. China is now at 17% and Mexico is more at 25%. So, we do feel like customers have been driving a regionalization strategy, whether it is driven by trade or tax or all those reasons. And of course, with COVID that conversational regionalization continues to intensify. And we follow our customers, I think Ruplu and I have talked about this in the past. We are very well-positioned in terms of our capability everywhere in the world, including in China to take advantage of that trend as it continues.
Ruplu Bhattacharya: Okay. Thanks for the details on that, Revathi. Maybe for my follow-up. If I can just ask a question on margins on the Reliability Solution segment. They came in at 5.1% this quarter. If you can just, I know you can't give guidance, but in terms of just the puts and takes, if you can give post because on one hand, automotive is weak, but then you have the healthcare solutions segment, which is going well, you have a large diabetes meter related program that you are ramping this year, and then industrial should also be ramping with some programs like that has good margins. So just in terms of puts in takes, do you think that margins can improve over the next couple of quarters is balancing out all of these things?
Revathi Advaithi: Yes. I would say, this is an easy answer Ruplu. Yes, absolutely it will improve. We are very pleased with our margin performance for industrial and health solutions. In the quarter, Industrial continued its track record of margins that you have seen in the past. Health Solution had a fantastic margin performance. We were very challenged with 50% cut in overall automotive revenues, which is quite significant, taking that kind of shut down for half the quarter really impacted us significantly. So, Reliability had a pretty significant impact as a result of it. We will absolutely see meaningful improvement in the following quarters.
Ruplu Bhattacharya: Okay, great. Thanks for the all the details. I appreciate it.
Operator: Your next question comes from the line of Shannon Cross with Cross Research. Your line is open.
Shannon Cross: Thank you very much. I was just curious, clearly PPE and all the medical devices, or maybe not PPE is right description, but all the medical devices are going to be important for quite a while, given the pandemic. But is there a way to sort of quantify how long ventilators will still need to be manufactured or maybe decided the opportunity from the standpoint of the testing equipment? Just trying to understand within healthcare, how some of this can bridge the gap until theoretically, I guess we are all able to go back and do elective surgery. I don't know if there have any numbers behind it, or ways to think about it. But that would be helpful. And then I have another question. Thank you.
Revathi Advaithi: Yes. So Shannon, I would start by saying the way we have discussed this in the past is that we were expecting that the next few quarters, which is Q2 and Q3 would see meaningful kind of production from ventilators. And then we said that in Q3 and Q4 we would start seeing some returns in elective procedures so they will offset each other somewhat, that is our guest Shannon. And I think we have a very good interaction with our customers in these spaces to have that view of it. Though I would say the changes that we could see is obviously, you are seeing that COVID-19 doesn't seem to be going away to some of the ventilator production that we thought would go down now it is continuing to ramp more than we expected. So, it may be pushed out at an extra quarter than what we had said before. But at a high level, from very deep analysis that we have done with our customers, we feel like the next couple of quarters, Q2 and Q3 will continue with ventilators, it may push out another quarter, and then electives we think is going to come back in Q3 and Q4 and that is how we are projecting our revenues for the year.
Shannon Cross: Okay, thank you it was helpful. Chirs, working capital is a use of 180 million this quarter. I know there is some seasonality but obviously there are many other puts and takes going on with cash management companies these days. So, how do we think about working capital through the remainder of the year? And what are the key metrics or key levers that you have to pull that that might drive incremental? Thank you.
Christopher Collier: Yes, in my prepared remarks, I tried to highlight this past quarter the various moving parts. So, I would probably point you in the direction of for us, this past period, we had our payables coming down over a half a billion dollars in the period, and that that was due to timing. And again, due to your we were shut down for many of our factories during the period, so we didn't get the production flow that we had anticipated investing inventory still was at an elevated level than where we anticipated. So, coupled with when production flows out of the back end of the quarter, you have timing in terms of linearity and your receivables. So, there is a lot of different moving parts in terms of the timing of working capital management. But we have a very clear line of sight to lessening the capital intensity of the business while making very good progress working through our inventory management. We see many different ways to continue to drive but today, it is 69-days of inventory, much lower, and those aspects are going to be very fruitful in terms of driving greater cash generation as we move forward.
Shannon Cross: Thank you.
Operator: Your last question comes from the line of Adam Tindle with Raymond James. Your line is open.
Adam Tindle: Okay, thanks. Good afternoon. Revathi, I just wanted to start - as you thought about the restructuring playbook. I'm wondering, how did you think about the trade off on cultural sentiment and future growth for the company, which I know has been a challenge for a number of quarters. Just the flip side, you know, you are starting to see a sequential improvement in demand. Your costs are attenuating, and when we look at the operational metrics they are actually quite healthy relative to competitors and even relative to your own historical. So I guess why I throw this on top and what would you say to investors that may worry it could impair future growth?
Revathi Advaithi: Yes, I would say Adam, absolutely no concerns at all. And this is why, because I think I was very clear to all of you when I talked in March and we said that we had redesigned our organizational structure, end- to-end and via realigning our operational models to drive more manufacturing efficiencies, that there would be a needs to realigned our overall cost base in line with that. And, so I think we had put that on pause just as we were trying to evaluate the effect the effect of the COVID-19 impact. And that is what we were trying to do. I would say we are more well positioned for growth than we have ever been before Adam, because growth is not a result of just how many resources you throw at it. It is more a result of, are you organizationally aligned end to end-to-end, do you have a great go to market that is focused, is your technology lined up with that? And today are six segments. The way they are organized really focused on pipeline and growth, and we are seeing significant results, as a result of that our pipeline is stronger than it has ever been and the kinds of projects we want to win. And we are very pleased with how our bookings are growing, even in the time like this. So I would say that, investors should feel very comfortable that finding the right kind of growth is about organizational alignment and that is what we are hoping to achieve. And then the second part of the restructuring also really significantly addresses manufacturing efficiency for us, which is very important in terms of how we are aligning our operational model to deliver it to two group structure, and we are finding tremendous room for manufacturing efficiency, and that playbook is also having the effect. So I would say investors should be very pleased that we are continuing to drive the right kind of growth. And at the same time we are delivering margin improvement along with that.
Adam Tindle: Good. Okay. Thank you. And just as a follow-up, what to know a little bit more near-term, maybe Chris would good answer if you could touch on seasonality with the new segments. And I'm really specifically thinking ahead to December. I know you are not providing guidance, but just don't want to get ahead of ourselves. And we typically get a solid sequentially from September. I'm just wondering if that has changed versus the normal build of add a nickel, you know sequentially on EPS from September December, is there something different about the way that businesses today and if you could touch on seasonality, that would be helpful. Thank you.
Christopher Collier: Sure, Adam, one of the things we will be very hesitant in getting too far out in front here. I mean, the world in which we are operating is very uncertain that has not changed that much. That is why we are focused on providing a near-term guidance. I would say if you look back to the portfolio shifts that have been undertaken and where we are really trying to drive to optimize and the actions that really were launched last year, we have dramatically lessened the size of our portfolio associated with consumer related products. And so, when we looked at that in the past, that has been something that would probably dampen that level of seasonality that we historically with seats throughout the year, but that is as much as we really want to get into in terms of looking out beyond this next quarter at this time.
Adam Tindle: Okay. Is that restructuring tailwind done in September, or is there incremental that goes into December as well.
Christopher Collier: The restructuring that we talked about today is going to be enacted during this period. The majority of which we would hope to accomplish in our second quarter here, and that is for the entire year.
Adam Tindle: Got it. Okay. That is helpful. Thank you very much.
Christopher Collier: You are welcome.
Revathi Advaithi: Great. Thank you all for joining us today. And even with these unprecedented times, I'm as confident as ever in the future of Flex. I wish that all of you remain safe and have good health. And I look forward to talking to all of you next quarter. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect. Goodbye.